Operator: Thank you for standing by ladies and gentlemen. And welcome to the Costamare Inc. Conference Call on the Third Quarter 2015 Financial Results. We have with us, Mr. Gregory Zikos, Chief Financial Officer of the company. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. I must advise you that this conference is being recorded today Thursday, October 22, 2015. We would like to remind you that this conference call contains forward-looking statements. Please take a moment to read Slide number 2 of the presentation which contains the forward-looking statements. And I will now pass the floor to your speaker today, Mr. Zikos. Please go ahead sir.
Gregory Zikos: Thank you and good morning ladies and gentlemen. During the third quarter of the year the company continued to deliver positive results. We have opportunistically acquired with equity two secondhand ships with time charter attached. At the same time we are actively looking for new opportunities, either in the secondhand, or in the new buildings market. Regarding market conditions, charter rates and asset values have been under pressure, as a result of weak demand. We continue to grow in our low asset value environment, which provides opportunities and upside for healthy and well capitalized players. And now moving to the slides presentation, on Slide 3, we are providing a summary of the recent developments. These include buying two secondhand vessels together with our partners York. Both ships have been bought with equity under time charter. And a dividend on our common stock and also dividend on all three classes of our preferred shares. Moving to the next slide, on Slide 4 we are providing a summary of the chartering arrangements which took place during the quarter. On Slide 5 you can see the third quarter 2015 results versus same period of 2014. During the third quarter of this year, the company generated revenues of $124 million, EBITDA of $85 million and net income of $30 million. For the same period of last year, the revenues amounted to $125 million, and the EBITDA and net income to $94 million and $34 million respectively. Constantly with our previous press releases, we feel that the EBITDA and net income figures need to be adjusted for the forward-looking non-cash items, the revenues, the gains or losses from vessel disposers, the gains or losses resulting from derivatives, the amortization of the frequent lease rentals which is a non-cash charge and the non-cash G&A expenses. Based on the above, the third quarter EPS amounts to $0.46 and the third quarter EBITDA amounts to $89 million, vessels $0.38 and $87 million the year before. Moving on to Slide 6, on this slide we have shown the revenue contribution for our fleet. More than 97% of our contracted cost comes from firsthand charterers like MSC, Evergreen, Maersk and Cosco. We have close to $2 billion in contracted revenues and the remaining time charter duration of about four years. Slide 7 shows the timing of the latest fixtures of the ships coming out of charter in 2015 and 2016. As you can see we have been buying and chartering at the low of the market and the current charter rates of most of the ships are at levels close to basic levels. Buying low and chartering low allows us to minimize our chartering risk and provides us with more upside in a good market. And on the last slide, we are discussing the market. As already mentioned, chartered rates and asset values have been under pressure. The non-charter [ph] ships has come up to 4%. The order books remain at historically low levels at around 20%. As a company, we are well positioned to continue to grow in certain environment which provides for opportunities and future upside. This concludes our presentation and we can now take questions. Thank you. Operator, we can now take questions.
Operator: Thank you, sir. [Operator Instructions] And our first question comes from Ben Nolan of Stifel. Please go ahead.
Ben Nolan: Thanks a lot. I had a couple questions. The first relates to some of your new builds, specifically the five, I believe it is in the York - they are being built at Subic Bay. It looks like the schedule has been pushed back a little bit on the deliveries, at least for the first several of those. First of all, am I correct in that? And then maybe also could you talk me through where you are with respect to chartering those vessels and also procuring financing for them?
Gregory Zikos: Yes sure. First of all, you are right that the deliveries of those vessels having pushed back a bit. Two vessels will be delivered as per the latest schedule in May 2016, two in June of the same year, and the last one, at the end of 2016. Now we are currently in discussions with its orderers regarding fixing those vessels. We wouldn't like to fix them at a rate which we don't feel like comfortable so we're taking our time, there is no pressure. Up to now we have paid 50% of the equity for those new buildings and the last payment - the delivery payment, the remaining 50% for each one of those vessels is upon delivery. The first starts in May, so I think we have enough time. So I can tell you that from now up until delivery, there are no other CapEx requirements from our side. Now regarding the financing which is the second part of the question, normally we wouldn't proceed with financing the ships or the new buildings, we felt having a time charter in place because obviously the financing would be more attractive with a time charter in place. So as we move along and we are discussing the chartering, at the same time we will be discussing the financing with potential financiers. So I mean we feel comfortable for those vessels, regarding their size, the specs, their delivery time, and we fell that those vessels in the future will be in need. Thank you.
Ben Nolan: Okay, that's helpful. And to just dig in a little bit further on the financing and CapEx, it looks like you've got about $175 million dollars of - call it, unfinanced CapEx remaining, of that how much would you expect to be taken out by the incremental financing for the - how much incremental equity do you think for the entire balance of the new build program you guys have remaining?
Gregory Zikos: Well, I think this $175 million also does include the debt portion for the 514,000 TEUs which is in place. So I mean, if you take it out of Costamare - out of the portion of the new buildings including hours of remaining equity commitment for the 514,000 TEUs, it would be in the region of $100 million to $105 million. Out of those $105 million, should we levers those vessels at the levers close to what we've done in that past, and this is also a function of the tenure of the top of the party. I think we might sort of end up with somewhere in the region of $30 million to $40 million remaining sort of equity companies for mare's site. But today regarding Costamare, the remaining equity CapEx excluding the debt which now is committed for the 514,000 TEUs, it's in the region of $105 million, and the under $75 million there, this is for [indiscernible] includes part of the debt which is committed for new building today. So it is another which maybe misguiding you. Okay?
Ben Nolan: Okay, now that's helpful. And then my last question relates little bit more to the market. You know obviously as you said, if things have softened a bit, the ideal fleet has increased. Was curious in the - the last time that we saw this happen, some of the more modern efficient, and really larger ships seem to have been relatively immune to any weakness in rates or asset prices, at least certainly relative to the panamax or the smaller class of asset. There is not as much liquidity in terms of chartering or sale in purchase activity in that larger category. But are you seeing the same dynamic play out here in that, the larger more modern efficient asset have been a bit more insulated from the weakness that we're seeing in the market or are they participating in any kind?
Gregory Zikos: Look, I think you're right. I mean, first of all the number of fighter ships has come up to 4% which is a significant increase in the battle vessels compared to where we were a couple of quarters ago. This is mainly as a result of a weak demand. And this 4% also sort of includes around 15/20 ships of above 7,500 TEUs, and includes close to 40 vessels in the region of 5000 TEUs to 7500 TEUs. So I think the trend you described is correct, we see ships being laid up across the board and on the other hand I can tell you that the charter market is relatively weak today for ships that in the size range of panamax, like 4000 TEUs to 4500 TEUs, up until 8500 TEUs to 9000 TEUs. This is a sort of class of assets that has been particularly under pressure over the last weeks.
Ben Nolan: Okay but they are still relatively strong demand in decent charter rates or something over - call it 10,000 you would say?
Gregory Zikos: Look, there is demand although, but we haven't seen a lot of fixtures with long term charters recently. But I can tell you that for instance, the panamax vessels which in the past was using like 15,000 TEUs to 14,000 TEUs per day for six months to a year. We've seen latest fixtures in the region of 8,000 TEUs to 9,000 TEUs. So I mean from that you can assess budget difference in the dynamics that's happening in market today. And the 6,500 TEUs in this part you consider them like 20,000 TEU plus. You may have fixtures in the region of 12,000 TEUs to 14,000 TEUs. So the difference is quite substantial.
Ben Nolan: Right. Alright Greg, that does it for my question. Thanks a lot, I appreciate it.
Gregory Zikos: Sure.
Operator: And our next question comes from Fotis Giannakoulis of Morgan Stanley. Please go ahead.
Fotis Giannakoulis: I want to ask about the overall market and about the demand, and we have seen that the demand has been weaker than it was expected, it seems that is in the region of around 3.5%. What has gone wrong with the containerized demand given the fact especially that the US economy is doing, oil prices are low, so theoretically this should have helped consumer spending and that should have helped the containership market.
Gregory Zikos: Yes, I mean we are mainly referring to demand that has to do with Asia. So if you look year-to-date and compared to 2014, intra - sort of intra-Asia rate has been down by close to 5%. Asia-Europe trade has been down by more or less the same percentage. On the other hand the fact that we have a strong dollar means that the Europe-North America trade, the present Latin trade or the trans-Pacific trade have been doing rather blue like Europe to North America we've seen an increase in the region of 10% year-to-date. And Trans-Pacific, mainly Asia to North America we've seen an increase in the region of 9%. So it's not that all trades have been performing poorly but it's mainly sort of Asia-Europe and also inter-Asia who you know have not meet market expectations.
Fotis Giannakoulis: So it's pretty much that the Asia and Europe - do you see any signs of recovery, especially for the European route because I would expect the low oil prices should benefit at some point the consumption in Europe.
Gregory Zikos: Yes, you're right. On the other hand, sort of Asia, also China, mainly - Chinese growth has not been as expected. If I put correctly, the target was in the region of 7% and we are below that. So Asia or China is not consuming as expected. Also the European growth has been relatively weak up to now. Of course, you can imagine that the way forward, that was just for European growth may look more promising but the situation today is that the Asia-Europe trade is not doing well, and in that particular trade we shouldn't forget that all the new buildings - and today's new building order book has stood for us at larger vessels, above like 14,000 TEUs. They are turning to this particular trade, and this is why we've seen the box rate for measure to Europe and falling at historically low levels to close $250 per TEU which is an extremely low number, bearing in the mind we got over last year or a couple of years ago.
Fotis Giannakoulis: So can you also comment on the supply of vessels side, obviously, there are a lot of deliveries of very large container ships going to the European route that pressured this particular route. But how does this - the deliveries look going forward - are we almost done or we still have some time to go?
Gregory Zikos: I think look, the order book today - it may be in region of 20% but this 20% is mainly for 2015 or for sort of the remaining 2015 and 2016. So for 2015 the net increase in TEUs must be in the region of 9%. For 2016 this is based on all sort of estimate and taking out and assumes cap rate in the region of 5%. However, order book for 2017 today and for 2018, it's quite same, in that region of 3% to 4%. So assuming that there will be no excessive ordering, which is something that you know, probably it is a logical assumption. Today's order book for 2017 and 2018 is relatively low.
Fotis Giannakoulis: And do you see that this ordering activity has stopped? It seems that the last few years has been triggered primarily from liner operators. Do you see liners willing to order more shapes and what kind of implication it has for your company in terms of a new opportunities or in terms of differences in charter rates?
Gregory Zikos: Look there will be some new building [ph] and from our side we also look actively at new buildings with a time charter attached. Now I cannot predict how much the new ordering will be, this is up to liner companies and this is up to the requirements of the alliances. There will be some ordering but what I can tell you is that, the way the order book looks to be shaping now for 2017 and 2018, it's relatively thin. Some ordering will be and will definitely be required by liner companies, and we also see opportunities as far as Costamare is concerned, leveraging on our relationships, leveraging on our ability to fund those transactions, and to sort of enter into long term time charters for new buildings with attractive returns.
Fotis Giannakoulis: And one last question for me. From what I understand from the description that you gave about the market it's probably going to be a difficult year but you expect that in 2017 the supply growth is shrinking and hopefully the demand will improve. We seem the next 12 to 18 months you have some vessels that they coming out of charters, how does this weak environment impact your profitability or your earnings and what is the re-chartering risk that you see for your company?
Gregory Zikos: Yes, I mean I'll tell you look - there is a slide in our presentation particularly for the re-chartering which from our side we don't consider it to be a risk at all, it's quite the opposite, we see it more as an upside compared to being downside. I will explain why. We have a charter coverage in the region of 75%, up until the end of - for the period of January to December 2016. If you note that today's charter rates of the vessels coming out of charter for the remaining of 2015 and for 2016, those vessels simply because we bought them in a low market, and since then we have kept chartering and re-chartering them in a low chartering environment. Today's charter rates that those vessels are yielding are not much higher from where the market is today. So I don't think that there is any significant downside from our side and that is what is Slide 7 is trying to show. On the other hand, should we see a small rally in the market like we all witnessed in mid of this year then there is definitely substantial upside. Let me also remind you that the backbone of the fleet onto 6500 TEU ships we have, the 9500 TEU ships we have, the 14,000 TEUs are new buildings, they are sort of all coming out of charter from 2018 onwards. And we have charter cover, we have a new buildings what would have become out-of-charter in 2026. So the backbone of the fleet, these are the assets that are now providing stable cash flows for the years forward. On the other hand opportunistically, we have bought ships with equity at low prices. We keep chartering them at above their breakeven levels. So the re-chartering of those vessels has not posed a significant downside risk for us. I would say quite the opposite, let's not forget that the container shipping has been in a down market for the last six or seven years. So at some point, this would be some upside as well.
Fotis Giannakoulis: Okay, thank you very much, Greg.
Gregory Zikos: Thank you.
Operator: And our next question comes from Mark Suarez of Euro Pacific Capital. Please go ahead.
Mark Suarez: Good morning, Greg. Thanks for taking my question.
Gregory Zikos: Good morning.
Mark Suarez: Just to say on the macro liner question here, obviously you mentioned the Asia-Europe has been weak, we have seen those numbers, idle ship is - like you said, around 4%. I'm wondering if maybe we can shift our attention to the trans-Pacific trade. How do you see charter rates for those panamax up to the 8000 TEU level trending, specific in the trans-Pacific route given how strong the US dollar is, China devalued their currency, and of course considering the delivery schedules for the larger 10,000 TEU plus vessels coming over the next 12 months?
Gregory Zikos: Look, the panamax vessels will probably - we shouldn't link them directly to the trans-Pacific trade but the panamax vessels today - I think the charter rates based on the latest fixtures, they are in the region of close to 8000 TEU per day which of course, if you look at this rate historically it's an extremely low rate which - it may be covering operating expenses but I'm not sure that it fully covers debt service requirements, especially if the vessel was brought at a higher price like back in 2006, 2007 or 2008. Some months ago which show especially - partly as a result of the congestion in the US West Coast, we continue at panama vessels trading and yielding in the range of 14,000 TEU to 15,000 TEU. But let me remind you that the back in 2007/2008 the panama vessels at some point - at panama that we're getting close to 25,000 TEU to 30,000 TEU per day. So this $8,000 per day is an extremely - it's an extremely low rate and this shows the lack of demand for that particular asset size. Now if you want to discuss more specifically about the panamax vessels, we have some ships opening at the Costamare Inc. level. We have three ships chartered to Zim, which are now opening in 2016, however for two out of those three ships specifically, Costamare has put option to continue chartering them - those ships to Zim at market rate, whatever the market will be, plus $1,100 per day per ship. So for those vessels, for those Zim ships which are panama and are coming out of charter within 2016 we feel quite comfortable regarding their future chartering, especially because we have those owners option.
Mark Suarez: Got you, and that makes sense. And then maybe we can turn to the latest transaction here, I know you went to some of the older panamax vessels. It seems to me that your team is willing to look at all segments assuming you have charter attached contracts and some you have the return you want. And my question is basically going forward how should we think about that capital deployment strategy, should we look - should we expect more of the same within the JV framework in terms of additional charter attached secondhand, potentially some new builds or could we see the form or the room for additional secondhand acquisitions outside of the JV framework?
Gregory Zikos: Look regarding the JV, up till now pretty much everything we've done we've done it together with our partners, York Capital. Also as you rightly mentioned, the latest two acquisitions for those the secondhand vessels, there is an exclusivity, we are sourcing the transactions, we discussed them with York. If York does not want to participate then we have the right to move ahead and proceed on a standalone basis with somewhat [ph] level. But up till now York - and you know we are very happy that this relationship is proceeding so well. York has agreed to participate in almost, sort of - in literally all the transactions we've done up till now. So going forward, I would say that we feel that there are sort of - a lot of opportunities that we're going to be doing together with York. Now regarding the capital deployment and budget allocation, we are looking both. I'll tell you what it seems, like the latest two transitions we did with as an absolute number they are sort of in the region of $12 million to $13 million, the two ships together. On the other hand, we feel that on a return basis, those are transactions that definitely make sense for our shareholders. Then on the other hand, we are looking at - our team release with time charter attached. I would say very, very actively and this is another area because somewhere in the past or over the last three/four years have done substantial sort of substantial transactions. So let me remind you that this is going public from the end of 2010. We have ordered 10 plus 10, close to 20 new buildings over the last four/five years. So this is definitely an area where we have a lot of interest.
Mark Suarez: Okay. And as you see - as you form a very attractive new build growth here, as you take the lever of these new builds, but at the same time, as the charter rates are beginning to be biased on the downward as opposed to the upward like what we talked about six or nine months ago. How should we think about the dividend policy or do you think there maybe - as you go into board meetings there is a bias now to keep the dividend rate constant or stand up with the potential here or to take deliver these vessels to maybe increase the dividends?
Gregory Zikos: First of all,, I have to remind you that we've raised the dividend three times over the last five years. Now the dividend is something we all like, including the Costamare, the major holders, because the founding family has a 65% interest in Costamare without any other shipping activities outside of this company. The dividend should be growing, and will be growing. At the same time we've increased cash flows. So let sort of the new buildings hit the water, and then at any given time another consideration is whether there are sort of any other opportunities in order to invest further. So the dividend will increase with incremental cash flows from your business, but always considering the circumstances and whether we feel that there is room for additional investment, with part of those sort of increased cash flows will be used.
Mark Suarez: Okay, fair enough. Well, that's for me, thanks, thanks for your time as always.
Gregory Zikos: Okay. Thank you, thank you very much.
Operator: Our next question comes from Shawn Collins of Bank of America. Please go ahead.
Shawn Collins: Great, thank you. Greg, good morning, good afternoon. How are you?
Gregory Zikos: Good, good. Thank you, Shawn.
Shawn Collins: Greg, so in the quarter you bought a minority stake in two ships, smaller size for your portfolio for about $13 million. Can you just talk a bit about what made these two ships attractive?
Gregory Zikos: Yes. First of all, let me start by saying that it is a minority stake because it's less than 50% but it is 49%. So I have to make a statement here that in this JV with York, Costamare is participating with a substantial amount of equity which maybe ranging from like 25% to 49% or even higher. So the 49%, it is a minority stake but simply, we have like one out of the two ships in shipping terms. Now regarding the vessels; the first one, it is a 2001 build 1,500 TEU ship, we brought it at closer to $6 million, the vessel has a time charter for two years, around $10,500 per day. I think that we are considering our sort of equity at risk or at the expiry of the charter partly, also making some calculations regarding the scarp value of the vessel. And also considering that the vessel is like 2001 build, so its 14/15 years old to-date and those ships have a 30-year useful life. So by factoring in all those parameters, we feel that both - this transactions and the sort of - and the second one, the shelf [ph], and based on the same assumptions we feel that the assumptions that makes sense because we first got our downside to the extent we can and then there is definitely significant more upside for our shareholders.
Shawn Collins: Okay, great, that's helpful color. And then Greg, the second ship, Helgoland Trader that delivered in - which will be delivered in April 2016. Currently on charter with Maersk, when you get the ship will it still be on charter?
Gregory Zikos: Well, we are sort of, in discussions and saying we want to make sure that 2016 is delivered. We will have a charter in place, however it's not something we can sort of - announce the date. But then hopefully in the next quarter you will see this vessel chartered for an additional period of time. This is what we have in mind, correct. Thank you.
Shawn Collins: Thank you.
Gregory Zikos: Thank you, Shawn.
Shawn Collins: Thanks very much, Greg.
Operator: And our next question comes from Gregory Lewis of Credit Suisse. Please go ahead.
Gregory Lewis: Yes, thanks and good afternoon, Greg.
Gregory Zikos: Hi, good morning, Greg.
Gregory Lewis: You mentioned real briefly your scrappiness options on those two vessels that you picked up for what's $5 million or $6 million. I mean, are we thinking 20% to 30% of the purchase price we could maybe get back in scrap is that sort of a fair way to think about it?
Gregory Zikos: Look, yes, you mean relatively low scrap price in order to be considered but yes, 20% to 30% out of the acquisition cost could be the scrap value for those seems right. However, this - so I mean there is also a time element because as an operator we are used to also running older vessels as opposed to sort of new buildings. We have ships which are like 20/25 years or even 30 years old but still trading. So as longer signal, we are - we feel comfortable with the physical condition of the vessel. I think - and as long as it can be chartered of course we're going to be increasing our returns by sort of employing this vessel as longer we can.
Gregory Lewis: And just given the size of the vessels, does the intermediate or sub-panamax depending on what you want to want with your feeder depending on how you want to think about it. What do you think that the daily OpEx could get to on those types of vessels?
Gregory Zikos: It could be like $4,000 to $5,000 per day.
Gregory Lewis: Okay, perfect. And then just shifting gears a little bit, I mean I know we've been hearing for years about banks unwinding and looking to cut down their portfolios, I guess more recently it looks like HSH is going to be pulling move back from their maritime book. Do you have any sense - could we see them get more aggressive in putting more secondhand container ship tonnage on the market over the next 12 to 18 months, is that something we should be thinking about? And what else can you - how do you think position is to take advantage of those potential vessel sales that are coming to market?
Gregory Zikos: Regarding the stress sales coming out of banks, especially from European banks, this is something that has been extensively discussed over the last years, I would say two to three years or even more on that. Now of course you know there are news regarding general banks and the sort of other way forward but I have to tell you that up till now we haven't seen any meaningful size of transactions coming out of financial institutions, there have been some deals but in over close, the size - these sort of actual size of those loan portfolios. On the other hand, this doesn't mean that there may not be opportunities and of closure, it's our job to make sure that whatever transactions are available in the market we see them and we are sort of, as competitive as we can, always covering our down site to participate. So this is something we definitely look at, we have a close eye on those deals, however, up to now we haven't seen a tremendous amount of those actions coming out of the stressed loan portfolios.
Gregory Lewis: Okay. So it sounds like if it happens, great, but it doesn't sound like we're going to - it would head a point where we can actually start to see the banks always get a little bit more aggressive on selling it, it doesn't sound like you're too optimistic on that?
Gregory Zikos: Well, this may happen but I cannot say that this is something that - which really is going to be happening over the next two or three months or sort of two or three quarters because there is a lot of parameters, and lot of others factors involved. So this is something that maybe happening but it would be difficult to sort of determine the exact timing and scale to be honest.
Gregory Lewis: Okay, perfect. Thank you very much for the time and have a great day.
Gregory Zikos: Thank you, Greg.
Operator: And our next question comes from Charles Rupinski of CFR Global. Please go ahead.
Charles Rupinski: Good afternoon Greg and everybody.
Gregory Zikos: Hi, Charles. Good morning.
Charles Rupinski: I just want to appreciate all the color on the macro and most of my questions have been answered but I did have one thing I wanted to ask you about which was a recent article about some of the faster services; for example, APL and Zim. And it's been out there in the press that maybe this is something that could - if it catches on, affect the whole slow steaming vessels. I just wanted to maybe get your take on that if that's a real issue or something that could impact the industry in terms of how much capacity is going to be out there if the slow steaming does end up speeding up?
Gregory Zikos: First of all, this is something that has made to do with the liner companies regarding the speed of the vessels and whether they are slow steaming, it's something that - it's going to elapse or whether it's going to be reduced. Uptil now I can tell you that from our side to the extent that we have this information, uptil now we haven't seen any substantial sort of - or any meaningful increase in the speed of the vessels. But its up to the liner companies to determine which is the real certified capacity that sort of has to be in the market. Also bearing in mind was what books rates today are, and what is the expected demand but I think in this equation that first needs to be addressed to the liner companies.
Charles Rupinski: Okay, thank you for the color. Thank you very much.
Operator: And our next question comes from Amit Mehrotra of Deutsche Bank. Please go ahead with your question.
Amit Mehrotra: Thank you very much. I just had one question on the overall market, vis-à-vis the liner companies. We've seen them downsize a little or maybe the right word is optimize their service routes and that has led to some reduction in demand for ships. Can you just talk about that, what do you think the impact of that has been, if anything, on the most recent rate weakness? And where we are in that cycle sort of playing out in terms of its impact to the charter market? Thank you.
Gregory Zikos: Look we've seen some consolidations in some specific trade routes or sort of - we've seen the liner companies taking out vessels of specific strings. And the fact that the demand is not sufficient to absorb today's capacity, it's also leading to really - when the vessel is coming out of charter and then the re-chartering most of the times going to be a couple of months extension of the previous charter contract. So for instance there is a lot of supply today, as we speak there is a lot of supply for ships in the region of 5,000 TEUs to 6,500 TEUs or even up to 9,000 TEUs. As the demand is not there, ships are being laid up and this is the reason we've seen the present of either ships climbing from sort of below 3% to 4%. Now what is the way forward and where we're going to be in a couple of quarters or sort of by the end of 2016, I wouldn't like to sort of enter into any forecast here. I can tell you that from our side the way that - of course I'm always being modest [ph], we make sure that our ship is coming out of charter are not going to have a significant downside simply because we've got most of them in a low asset value environment, the amount of value they are sort of yielding today is close to where the market is. And the backbone of the fleet has been charted out long, the debt service is being serviced at pool, meaning that we are - we sort of amortized out debt, quite clearly we never had any grace periods. So where the market will be in some quarters, I'm afraid I cannot predict but I can tell you that as we rightly pointed out, the demand is not enough to absorb capacity and the ships have been laid up and those on charters have another lot of pressure.
Amit Mehrotra: Yes, I'm not trying to imply that this has an impact on cost of my - but given that in shipping a lot of the trends in the overall market tend to impact all the companies, in either sense, I think it's a little bit important to understand sort of how the liner companies are running their business. So I just want to make sure I understand what you're saying and so do you think this consolidation of some of the roots is more cyclical, not structural, it's really a function of demand and it's not liner company sort of rethinking how to run their business more optimally. Is that an accurate statement?
Gregory Zikos: Well, this question is - business could be addressed to the liner companies but - if I have say something, I would say that this is a reaction to weak demand.
Amit Mehrotra: Okay, very good. Thank you for answering my question, I appreciate it.
Operator: And our next question comes from David Starkey of Morgan Stanley. Please go ahead.
David Starkey: You were talking about the demand from China in that area of the world being lower but still I guess it was expected to be up 7% so how could it be lower - though you mean just a lower growth rate over there?
Gregory Zikos: I think, yes, correct. If you look at the demand like year-to-date, 2015 and versus year-to-date to 2014, the demand has been low. I mean, the growth has been less, correct.
David Starkey: Well, that would mean shrinkage though not growth over there, so that would mean maybe things are worse but the media seems to be saying over in that area but isn't. So your European operations from shifting from a stronger economy in the US is not offsetting that to the extent that means your growth rates was a bit lower than expected?
Gregory Zikos: Look, I was referring to the trade routes as Europe. If you are referring to sort of present landing or Trans-Pacific, there in both of those trade routes, we have growth. And we have growth especially on the route to the US because of the strong dollar, we have more imports.
David Starkey: Do you guys have any way of measuring how full the ships are as they are shipping?
Gregory Zikos: You are referring to the loading factor?
David Starkey: Yes.
Gregory Zikos: The loading factor - we get information from the liner companies but again it is something that has to be addressed initially to the liner companies with following instructions. We have information regarding better use for the boxes that are being shipped from sort of XYZ as yet to Europe trans-Pacific charter landing, Middle East, etcetera.
David Starkey: Does that have more of a direct correlation to the charter rates that are the spot rates?
Gregory Zikos: No. Look this has to do mainly with the box rates. The box rates are the rates that the liner companies are charging shippers who are shipping goods, for instance, for major to Europe. Box rates are definitely correlated with demand and supply of how many vessels the liner companies have available in order to carry sort of those goods. And box rates, it will look at little upside, have been substantial down. Charter rates which are the rates we have been charging are sort of - we have been charging the liner companies have to do with the supply and demand of ships, meaning how many ships the liner company need and what is the number of ships that are to-date idle, and this is 4% figure we were referring to earlier.
David Starkey: Okay. You guys have been - I've been following the company for a couple years now and I have investors in the stock and I just - you know you've always been consistent and even beaten the expectations over the last year or two. Is there a way for your story which is kind of uniquely strong to me, to get you guys to get that word out a little bit better to the investment community? It seems you're just kind of lumped in with the MLP groups and the container groups and there is not really a distinguishing vibe out there with the investment community, you just kind of go down the same with all the others but yet you do seemingly better.
Gregory Zikos: I agree with you. Look what I have to say is this, look - you're right that the MLPs, energy related companies especially have been trading down, investors are asking for a high yield, and also sort of our dividend yields that has come up as well. In the past Costamare was trading at 4% to 5% yield, now we're trading - I think in the range - in the region of 7.5% to 8% or north of that. What I can say is that today the sort of 8% yield that Costamare is proposing is quite attractive. It's quite attractive because it is coming from long term cash flows with very secure and stronger counter parties. And as we mentioned, I don't think we've ever missed analyst estimates, not over the last couple of years since going public I would say, and we never had to restructure out debt, cut the dividends whatever. So, I mean today this 8% dividend yield, it is quite attractive and we have also a track record as a public company. We are growing selectively, the platform is there, the cause is held the company has worked up the life. Hopefully over the next quarters we're going to be able to announce more transitions, both in the secondhand and to the new building sector. But this is what we can do, investors after some point, they don't differentiate within different sectors in shipping or they may not even differentiate between MLPs and the container shipping company and energy related companies. We are patient. As you know we were patient when we went public for the first time in 2010. But we feel this 8% yield, it's quite an attractive proposal.
David Starkey: Just to begin as a possibility of getting the word out a little bit better. I know there is a registration statement on file for potential offering at some point if I'm sure, market prices were better but that seems to been on file for a long time now and I know there are some difficulties in getting some of that information out to clients. When that is the case is there a possibility that the board would consider just getting something to making that streamline that process a little bit so that we can get some more information out there?
Gregory Zikos: So you're referring to the filing regarding selling off shares or the sort of MLP. Look, the file is there but I can't tell you that today there is no intention at all today to sort of alter common stock.
David Starkey: If we let that filing go and then reinstate it later at a more appropriate time?
Gregory Zikos: I think it's common practice to have this sort of shelf there. But it doesn't mean that we would have to issue common shares. First of all, because we don't need it we have cash on balance sheet of $107 million plus, we have close to ten debt free assets. So we definitely don't need it, it's there but it is common practice for a lot of relative companies. So I don't think we are sort of any different than the others on that.
David Starkey: Okay, thank you for your help.
Gregory Zikos: Sure, thank you. Thank you very much.
Operator: [Operator Instructions] This concludes our Question-and-Answer Session. I'd like to turn the floor back over to Mr. Zikos for any closing remarks.
Gregory Zikos: Thank you very much for being here with us today. We are looking forward to speaking to you again during the next quarterly results call. Thank you.
Operator: Thank you, sir. That does conclude our conference for today. Thank you all for participating. You may now disconnect.